Operator: Good day, and welcome to the IDT Corporation's First Quarter Fiscal Year 2020 Earnings Call. In today's presentation, IDT's management will discuss IDT's financial and operational results for the three-month period ending in October 31, 2019. During prepared remarks by IDT's Chief Executive Officer, Shmuel Jonas, all participants will be in a listen-only mode. [Operator Instructions] After the prepared remarks, Marcelo Fischer, IDT's Chief Financial Officer, will join Mr. Jonas for Q&A. Any forward-looking statements made during this conference call either in the prepared remarks or in the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those which the Company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation either to update any forward-looking statements that have made or may make or to update the factors that may cause actual results to differ materially from those they forecast. In the presentation or in the Q&A session, IDT's management may make reference to non-GAAP measures, including adjusted EBITDA, non-GAAP net income and non-GAAP EPS. A schedule provided in the IDT earnings release reconciles adjusted EBITDA, non-GAAP net income and non-GAAP EPS to the nearest corresponding GAAP measures. Please note that the IDT earnings release is available on the Investor Relations page of the IDT Corporation website at www.idt.net. The earnings release has also been filed on Form 8-K with the SEC. I would now like to turn the conference over to Mr. Jonas. Please go ahead, sir.
Shmuel Jonas: Thank you, operator. Welcome to IDT's first quarter fiscal 2020 earnings call covering results for the three-month period ended October 31, 2019. I am joined today on the call by Marcelo Fischer, IDT's Chief Financial Officer. For a more detailed report on our results, please read our earnings release filed earlier today, and our Form 10-Q, which we will file with the SEC next week. We delivered consistent results in the first quarter of our 2020 fiscal year, highlighted by expansion of our higher margin growth initiatives and expansion of our lower margin Mobile Top-Up service offset by the expected decreases in our BOSS Revolution Calling and Carrier Service revenues. Net2phone's cloud-based UCaaS offerings increased revenue 50% year-over-year, and 35% excluding the impact of our acquisition of Versature, while subscription revenue increased 87%. Net2phone's UCaaS revenue growth this quarter, although strong, came in below our internal targets. We are working to accelerate deployments of new feature sets later this fiscal year that will enhance our ability to compete and win larger accounts, particularly in the U.S. where agents and customers are escalating their requirements for advanced functionalities. During the first quarter, we launched a net2phone third-party agent partner portal in key international markets and expect to see a significant positive impact from this initiative in the coming quarters. At October 31, net2phone served 112,000 seats globally, an increase of 44,000 seats over the past year. National Retail Solutions turned in a strong quarter, increasing revenue 93% year-over-year. NRS' advertising, data analytics and credit card processing offerings drove the expansion as they began to find traction in their respective markets. NRS operated approximately 8,200 active terminals, serving independent retailers across the country at the quarter's end. Our BOSS Revolution international money transfer business boosted revenue by 56% year-over-year to $7.4 million led by the DTC revenues, which increased 69% year-over-year to $4.6 million. I am especially pleased that retail-originated transactions are back on a growth track. They increased 38% year-over-year and 12% sequentially. In our core businesses, industry-wide headwinds in the paid minute telecommunications market have been pressuring our BOSS Revolution Calling and Carrier Services business for years and this quarter was unfortunately no exception. Core revenue in aggregate declined by $28 million year-over-year to $317.8 million in line with our expectations. BOSS Revolution Calling revenue decreased 5.9% to $116.2 million and Carrier Services revenue decreased 20% to $113.5 million. But we are keenly focused on minimizing the bottom line impact. Revenues from our Core Mobile Top-Up service increased 18% year-over-year to $76.8 million, boosted by sales of bundled offerings. Expansion of our growth initiatives and Mobile Top-Up offerings drove an increase in gross profit for the fourth consecutive quarter, and adjusted EBITDA climbed to $7.3 million from $7.1 million a year-ago. Overall, our big picture approach leveraging cash flow from the core offerings to build out our growth initiatives is propelling the company toward higher margin offerings with exceptional growth potential. Despite some hiccups along the way, we are building several truly exciting businesses and positioning them to unlock significant value for our stockholders through spin-off sales or special dividends. That concludes my comments on the quarter's results. Now Marcelo and I would be happy to take your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions]
 :
 :
Operator: As there are no questions, this concludes our question-and-answer session as well as our conference call.